Operator: Ladies and gentlemen, good morning, and welcome to the Sidus Space Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Walter Pinto, Managing Director, KCSA. Please go ahead.
Walter Pinto: Good morning, everyone. And thank you for joining us today for the Sidus Space third quarter 2023 earnings conference call. Joining us today from the company is Carol Craig, Founder and Chief Executive Officer; and Teresa Burchfield, Chief Financial Officer. During today's call, we may make forward-looking statements. These statements are based on current expectations and assumptions, and as a result, are subject to risks and uncertainties. Many factors could cause actual results to differ materially from the forward-looking statements made on this call. These factors include our ability to estimate operational expenses and liquidity needs, customer demand, supply chain delays, including launch providers and extended sales cycles. For more information about these risks and uncertainties, please refer to the risk factors in the company's filings with the Securities and Exchange Commission, each of which can be found on our website, www. sidusspace.com. Listeners are cautioned not to put any undue reliance on forward-looking statements. And the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. At the conclusion of our prepared remarks, we'll be answering questions submitted in advance. If we do not get to your questions within the time frame allotted for this morning's call, please email our team at sidus@kcsa.com. At this time, I would like to turn the call over to Carol. Carol, please go ahead.
Carol Craig: Thank you, Walter, and welcome, everyone. I'm pleased to provide an update on Sidus today at a truly pivotal time for both our company and the industry. We continue to execute our strategic plans as an innovative, multifaceted space and data as a service company, and we're laser-focused on progressing towards the launch of LizzieSat. We expect the launch of LizzieSat to be a significant catalyst for our business as we believe it will provide us with the opportunity to develop additional high-margin revenue streams, driven by the sale of both data and payloads on these missions. We expect the enhanced capabilities of these satellites to provide space infrastructure as well as critical data that will create a high-margin, are rapidly scalable recurring revenue business model. The company is continuously working to secure agreements that will provide us with a predictable business model. Our goal is to secure additional high-margin revenue generation opportunities through the revenue streams that we will develop even following our LizzieSat launch. As we move towards 2024, we are targeting three areas that we feel will positively impact the share price, both in the short-term and the long-term: first, ensuring the success of not only the initial LizzieSat launch but subsequent satellites as well, second, securing agreements to sell the data that we plan to collect from this constellation and as mentioned above, we believe these agreements have significant revenue generating potential and third, securing agreements to sell technology payload space on our upcoming LizzieSat missions and then working at the same time to convert those payload customers to data customers. We recently completed initial environmental vibration testing of the LizzieSat satellite, which is one of the critical steps necessary to validate LizzieSat. We've been concentrating on ensuring all necessary pre-launch requirements are met so that we will be well are prepared for this transformative milestone. We're also continuing to secure additional data customers. We believe that data as a service will provide some of the highest margins of our revenue streams, which also include technology hosting aboard our LizzieSat and mission-critical hardware manufacturing. Delivery of that data is expected to begin 30 days after the deployment of LizzieSat. For our Data as a Service offering, we're targeting gross margins of 75% to 80%, similar to Software as a Service margins. Our mission-critical hardware manufacturing, which we've been successfully operating for over 10 years, targets gross margins of approximately 25%. During the third quarter, we took the significant step of acquiring the assets of Exo-Space, a cutting-edge California-based firm specializing in edge artificial include intelligence software and hardware for space applications. The transaction provides the opportunity for us to enhance our presence in the earth and space observations market by providing actionable solutions for our customer's needs rather than just raw data. The acquisition of Exo-Space was highly complementary to our existing business model and also in line with our existing strategy. The additional revenue-generating opportunities that Exo-Space's technology presents are enhancements to our prior offerings that will position Sidus to compete in the current market where AI-led data-driven services give us a significant competitive advantage.  And in addition to raw data by applying our onboard FeatherEdge AI, near real time actionable intelligence will be available to our customers. This combination of advanced data collection harnessed from our adaptability set provides organizations with the heightened decision-making capabilities, and this leads to increased confidence, precision, and accelerated insights for those customers. Sidus augments this distinctive and unique data collection with adaptable analytics tailored to our customers' own needs and then also offer that subscription-based access across multiple industries. Few companies know how to process data and with the additional AI functionality, Sidus is able to provide not just data but that critical information that provides answers to our customers. This offering can be a standalone service as well as part of another service model.  Through these decisive steps to integrate AI, we're leveraging the potential of AI technologies within our own service offerings, which expand our services, amplifies our market presence, and then also our customer relationships.  One advantage of our business model that I highlight our flexible, agile service offering that allows us to control our production and our launch cadence in coordination with customer demand. As customer requirements and the industry landscape changes, we're able to strategically evaluate varying scenarios related to launches and orbits and focused on the most economical solutions that support our path to profitability.  And when combined with the inclusion of additional sensors and enhanced AI capabilities, we expect the new orbits to add value as we get closer to initiating these launches and developing these new high-margin business lines. And therefore, our agile model ensures we're lining up our launches with the most valuable demand and doing what's in the best interest for company and shareholders.  We also continued to progress on accelerating our manufacturing plans, developing mission-critical hardware manufacturing to support multiple large organizations.  During the third quarter, we continued to establish relationships with new and existing significant, and customers and we announced several contracts that we were awarded, further validating Sidus' ability to deliver mission-critical hardware to our key partners and vendors. Earlier this month, we announced that we had signed an additional agreement to sell data that we expect to collect from LizzieSat. We believe we will continue to expand these opportunities as our constellation grows. While we're often prohibited from releasing the details of our client agreements, we plan to continue to update our shareholders on our progress as we build these new revenue streams that will result from the launch of our LizzieSat constellation. And in another complementary strategic move, we recently signed a contract to provide services to a U.S. owned company in support of their commercial lunar program.  This new contract will provide another revenue generation opportunity for the company, and while the lunar contract will not replace our lower earth orbit strategy, we do recognize the potential importance of lunar missions to build an infrastructure that enables human permanence on the moon and a transition to commercial operations past lower earth orbit and onto more distant destinations.  In line with these key areas of our strategic focus, we recently reorganized our leadership structure to ensure operational efficiency and resourcing in the right places. In September, we announced the appointment of Leonardo Riera to the position of Chair of the Board. Leo's significant Board experience will be invaluable in managing governance and other related matters, and this will provide me with an increased ability to focus on the execution of our commercial development strategy to build value for our shareholders.  We also promoted Jared Novick to the role of Chief Operating Officer; Lindsey Waitt to Lizzie Sapp, Program Manager, and appointed Jessica Curry as our Senior Vice President of Supply Chain. And as we gear up for the launch of LizzieSat in 2024 and scale up production of our LizzieSat satellite, these roles will be critical in ensuring our success. These changes will not only allow for more streamlined and efficient management of technical and operational aspects speaks within Sidus Space, but also ensure that we are right-sized and efficiently resourced to achieve our launch program. And I will now hand the call over to Teresa to discuss the financial highlights.
Teresa Burchfield: Thanks, Carol. It is a pleasure to be here today to discuss our third quarter 2023 financial results. You can find more details on our results in our Q3 Form 10-Q filed with the SEC on Tuesday, November 14th, 2023. As we progress towards the LizzieSat launches, we are focused on conserving capital to ensure that we have everything in place to execute upon our strategy. Sidus achieved revenue of approximately $986,000 for the quarter ended September 30th, 2023, compared to $1.32 million for the same period last year. While revenue declined period-over-period, primarily due to timing of fixed price milestone contracts, our higher margin satellite revenue continued to increase. From a year-to-date perspective, it is important to note that for nine months ended September 30th, 2023, our satellite revenue has continued to increase and was up 135% versus the same period last year. Our gross profit was approximately negative $96,000 or negative 10% for the quarter ended September 30th, 2023, compared to approximately negative $86,000 or negative 7% for the third quarter of 2022. It is key to note that although gross profit was down 12% versus prior year, this was based on 25% lower revenue, and reflects the positive gross profit impact, as we continue to increase the percentage of our higher margin satellite-related revenue.  As we have mentioned before, our gross margin will be lumpy when looked at quarter-to-quarter but smooths out when looked at over time. For the nine months ended September 30th, 2023, our gross margin as a percent of revenue was 28% versus 25% last year and was almost $68,000 higher on $344,000 less sales year-over-year, again a reflection of increased percentage of our overall revenue coming from our higher margin satellite side of the business.  Third quarter operating loss was $3.87 million, which was comparable with the third quarter of last year. Overall, operating expenses decreased slightly $11,000 for the three months ended September 30th, 2023 versus prior year. To provide investors with additional information in connection with our results that's determined in accordance with GAAP, we also included in our Q3 Form 10-Q non-GAAP measures to determine our adjusted EBITDA. We use adjusted EBITDA in order to evaluate our operating performance and make strategic decisions regarding the future direction of the company. We define adjusted EBITDA as net income as determined by U.S. GAAP is adjusted for interest expense, depreciation and amortization expense, acquisition deal costs, severance costs, capital market and advisory fees, equity-based compensation, and warrant costs. These non-GAAP measures may be different from non-GAAP measures made by other companies since not all companies will use the same measures. Therefore, these non-GAAP measures should not be considered in isolation or as a substitute for relevant U.S. GAAP measures and should be read in conjunction with the information presented on a U.S. GAAP basis. Moving now to our capital structure. Close the end of the quarter on October 11, 2023, the company executed a registered direct offering in which the company sold an aggregate of 2,000 shares of Series A convertible preferred stock as well as a concurrent private placement of warrants to purchase up to approximately 19.7 million shares of Class A common stock. The preferred shares are convertible into approximately 19.7 million shares of our Class A common stock. Gross proceeds from the offering were approximately $2 million. Please reference our September 30, 2023, 10-Q for additional details. We are using the proceeds to continue to execute our strategic plan, including continued satellite development at an accelerated pace and to fulfill a steady launch cadence. We remain focused on managing our operating expenses closely with only a small amount of debt on our balance sheet. And with that, I'll hand the call back over to Carol.
Carol Craig: Thank you, Teresa. Before we move on to the Q&A portion of the call, I'll address the topic of our stock's performance. We recently received a delisting notice from NASDAQ since our Class A common stock was trading under $0.10 for 10 consecutive trading days. NASDAQ provides a hearing process and we have requested a hearing, which will say any delisting action by NASDAQ. In order to comply with NASDAQ continuing listing rules, we've secured board and shareholder approval for a reverse stock split of our outstanding common stock, which we expect to occur in December. We have filed an information statement with the SEC, which details the specifics of the proposed reverse split. I want to thank our shareholders for your continued support of Sidus. I wholeheartedly share your frustration with regards to the performance of our stock. I want to assure you that everyone at Sidus is laser focused on preparing for the upcoming LizzieSat launches and we are working diligently to build new revenue streams, which we believe will result in renewing shareholder value. I believe that we're approaching a transformative event for our company with our first LizzieSat launch, and with it, we will begin to benefit from our hard work. We'll now move to the Q&A portion of the call. We've received some submitted questions that we would like to address.
A - Carol Craig: So, the Sidus AI team, which is comprised of former Exo-Space employees, is integrating seamlessly with our overall organization. They're currently focused on providing input for mission operations, customer onboarding, and then also developing new sales leads. And these efforts will ensure that the AI data services brought over from the former Exo-Space team will generate revenue as soon as LizzieSat on-orbit and operational. And then in parallel to the AI technology integration, the team has continued to execute on the commercial and government contracts that were part of that asset purchase consideration. And these contracts include a subcontract from NASA for rapid fire detection solutions and a subcontract from the Defense Innovation Unit for payload hosting and then also, the primary contracts with private organizations for computing hardware and on-orbit data. Next question is, will you be able to use Exo-Space's edge AI in other applications?  And so, yes, the underlying FeatherEdge technology be implemented practically anywhere and it's particularly useful in communication-scarce or denied locations. And there's a specific focus on unmanned craft which could be operated in aerial, ground or maritime environments in addition to space. And there's great value to be added by that FeatherEdge system anywhere that data is generated for these ultra-low latency insights.  Next question is also related to AI. Will the team that you're acquiring required be able to do other AI projects beyond the edge AI?  And so, our AI team's focus is primarily on the underlying client technology that enables the implementation of intelligent data analytics applications at the edge. And that being said though, there are numerous ways in which this technology can be implemented, and that ranges from situational awareness to predictive maintenance and then these use cases will continue to expand as the commercial space industry develops.  Next question is how are you using 3D printing? Do expect to see metal 3D printing becoming part of the offerings in the future?  So, 3D printing is currently being used to support development of our primary structure picture of the LizzieSat satellite bus and it's comprised of a mixture of Onyx and carbon fiber to provide that necessary structural integrity required to withstand launch vehicle launch loads while still providing a lightweight option comparable to metal. And at present though, metal 3D printing has not been used in current bus configuration, but it can be incorporated into future design based on customer payloads and other subsystem changes that might necessitate it.  And that's all the questions that we have. So, I want to say thank you very much to everyone who submitted questions, and thank you to everyone for joining us today for Sidus Space's third quarter 2023 earnings conference call.
Operator: Thank you. Ladies and gentlemen, the conference of Sidus Space has now concluded. Thank you for your participation. You may now disconnect your lines.